Stefanie Wettberg: Well, ladies and gentlemen, good morning, and a very warm welcome to our half year press conference of BASF SE, which today is done as a Teams call. Thank you very much that you have dialed in. And today, we are going to present to you the financial figures for the second quarter 2025, and you're going to be talking to Markus Kamieth, who is the Chairman of the Board of Executive Directors; and Dirk Elvermann. CFO of BASF. Let's start right away, just a few technical pieces of housekeeping. The conference language is German with a simultaneous interpretation into English. And the charts that you are going to see in the Teams meeting are in German, and the English version is available for a download under our press website, and you can see the link in the Teams chat. And I give the floor to you.
Markus Kamieth: Thank you, Nina. Good morning, and welcome to our Teams or video call. Today, we are presenting our results for the second quarter and the first half year of 2025. On July 11, we pre-released some of our key figures due to the adjustment of our full year guidance. Dirk and I will provide you with more details today and the rationale for the revised outlook. Before we take a closer look at the sales development, let me give you a brief overview of the quarter. BASF generated EBITDA before special items of around EUR 1.8 billion in the second quarter of 2025. The Agricultural Solutions segment considerably increased earnings. The Surface Technologies and Nutrition & Care segments achieved slightly higher earnings. In the base Chemicals businesses, margins remained under pressure due to high product availability on the market. Let's now take a look at the sales performance of BASF Group. Overall, sales were almost at the level of the prior year quarter, thanks to volume growth. Volumes grew particularly strongly in the Agricultural Solutions and Surface Technologies segments. Prices declined in 4 of 6 segments, particularly in the Chemicals segment. We managed to achieve price increases in the Surface Technologies and Nutrition & Care segments. Contrary to the first quarter, currency effects in the second quarter dampened sales in all segments and were mainly caused by the significant depreciation of the U.S. dollar. Reflecting this underlying sales development EBITDA before special items came in at EUR 1.8 billion compared with EUR 2 billion in the prior year quarter. Here, you can see how the markets, volumes and specific margins of our segments developed in the second quarter of 2025. In general, the business environment in our business -- upstream businesses was very challenging. Compared with the second quarter of previous years, we generated significantly lower EBITDA before special items in these divisions. This can be attributed to the high level of uncertainty and cautiousness of our customers in most markets globally. I'd like to highlight some segment-specific aspects. As mentioned, the market environment for base chemicals remained difficult. Nonetheless, volumes in the Chemicals segment were almost stable. Specific margins declined in both divisions, particularly in petrochemicals. Despite the tough market environment, the Materials segment showed robust volumes and earnings performance. I will touch upon the stand-alone businesses only briefly as we have more detailed slides coming up. According to the latest data, global light vehicle production increased by 2.6% in the second quarter of 2025 compared with the prior year quarter, mainly on account of production growth in China. In this environment, the Surface Technologies segment recorded robust volume growth and outperformed the automotive market. Specific margins in this segment were almost flat. In the Agricultural Solutions segment, we achieved strong volume growth and were able to considerably increase specific margins. Now let's take a look at EBITDA before special items by segment. Considerable earnings growth in Agricultural Solutions and slight growth in Surface Technologies and Nutrition & Care partially offset lower earnings in the remaining segments. Earnings in Agricultural Solutions increased across all regions, particularly in North America, followed by South America and Europe. In the Surface Technologies segment, the main earnings driver was the higher contribution from the Environmental Catalyst and Metal Solutions division, which added to a continued strong performance by Coatings. In the Nutrition & Care segment, EBITDA before special items increased thanks to improved earnings in the Nutrition & Health division. Here, earnings were supported by a low double-digit million euro insurance payment related to the fire that occurred 1 year ago at the iso-Phytol plant at the Ludwigshafen site. In the meantime, production has resumed at our plants for vitamin A and E as well as for Aroma Ingredients. Force majeure for most products has been lifted. This will support volume growth in the Nutrition & Health division as of the second half of 2025. By contrast, earnings declined, particularly in the Chemicals segment because of the still unfavorable supply and demand situation for base chemicals. In addition, start-up costs related to our new Verbund site in Zhanjiang burdened earnings by around EUR 70 million in the second quarter of 2025. These startup costs will ramp up considerably during the next quarters to total around EUR 400 million in the full year 2025. Lower earnings in the Industrial Solutions and Materials segments also contributed to the overall decline in earnings at group level. Compared with the second quarter of 2024, EBITDA before special items in Other was considerably weaker. This was mainly because of the reversal of bonus provisions in the prior year quarter. In BASF's new remuneration system, the influence of group ROCE has been reduced, while EBITDA before special items, cash flows and nonfinancial targets are gaining in importance. In the following, I'll provide some additional color on the strong performance of the Agricultural Solutions and Surface Technologies segments. Compared with the prior year quarter, our Agricultural Solutions segment achieved remarkable growth of 21%. Volumes rose in all indications and sectors except for seed treatment. The absolute volume increase was most pronounced in herbicides. Compared with the second quarter of 2024, segment earnings improved by EUR 282 million to EUR 417 million. On a half year basis, earnings rose by a remarkable 8% to EUR 1.6 billion, resulting in a strong EBITDA margin before special items of 30%. As forecasted in February, we continue to expect a slight increase in earnings for the Agricultural Solutions segment for the full year 2025. Let's move on to the strong performance in the Surface Technologies segment. All 3 divisions in this segment achieved volume growth. Overall, volumes increased by 6.5% even when excluding volumes from precious and base metals. Compared with the second quarter of 2024, EBITDA before special items in the Surface Technologies segment rose by around 10% to EUR 350 million. All divisions contributed to this increase. The highest contribution came from Environmental Catalyst and Metal Solutions. Now I'll provide a short update on our portfolio management. As announced at our Capital Markets Day in September 2024, our goal is to fully unlock the value of our stand-alone businesses. In the first step, we agreed in February to sell our Decorative Paints business to Sherwin-Williams. The purchase price amounts to USD 1.15 billion on a cash and debt-free basis. We are well on track to close the divestiture in the second half of 2025, pending approval from the relevant competition authority. As planned and previously communicated, we approached the market in the second quarter of 2025 to explore strategic options for the remainder of our Coatings activities. These activities, which comprise automotive OEM coatings, refinish coatings and surface treatment generated sales of EUR 3.8 billion. We've received a considerable number of bids from private equity and strategic buyers and the process is well on track. In the Agricultural Solutions segment, we are making good progress with our plans. This business has global scale, strong growth potential and attractive cash flow characteristics. We are currently focusing on executing the legal separation and the implementation of a dedicated industry-specific ERP system. In parallel, we are preparing for a potential listing. We remain committed to completing all internal preparations for a successful IPO by 2027. In summary, we are executing our portfolio management strategy as announced. With that, I'll hand over to Dirk Elvermann.
Dirk Elvermann: Thank you very much, Markus, and good morning, ladies and gentlemen. I would like to begin by taking a closer look at the financial details of BASF Group for the first half of 2025. At EUR 4.4 billion, EBITDA before special items was slightly below the level of the first half of 2024. The adjusted EBITDA margin before special items remained almost stable at around 15%. EBIT before special items reached EUR 2.5 billion compared with EUR 2.7 billion in the prior year period. Special charges were largely incurred for restructuring measures as well as for the sale of BASF's equity share in the Nordlicht 1 and 2 wind farms back to Vattenfall, which took place in the first quarter of 2025. Net income decreased to EUR 887 million. Compared with the first half of 2024, net income from shareholdings declined significantly, mainly due to negative contributions from Harbour Energy, which was burdened by negative tax effects in the United Kingdom and from Wintershall Dea. Cash flows from operating activities amounted to EUR 603 million compared with EUR 1.4 billion in the first half of 2024. The decline was particularly driven by the lower net income and higher cash outflows from changes in net working capital. Payments made for property, plant and equipment and intangible assets decreased by EUR 554 million compared with the prior year first half to EUR 1.9 billion. This shows that we have passed the peak investment phase for our South China Verbund site. Free cash flow was minus EUR 1.3 billion in the first half of 2025. In the second quarter of 2025, cash flows from operating activities decreased by EUR 365 million. Changes in net working capital led to a cash inflow of EUR 38 million compared with a cash inflow of EUR 710 million in the prior year quarter. The main reason for this was the change in trade accounts payable. Payments made for property, plant and equipment and intangible assets decreased by EUR 428 million compared with the second quarter of 2024 to EUR 1.1 billion. Free cash flow increased and came in at EUR 533 million compared to EUR 471 million in the second quarter of 2024. Ladies and gentlemen, now let us talk about the measures we are taking to protect our balance sheet. Our top priority is maintaining BASF's financial strength. We are fully committed to our financial policy. We aim for a single A credit rating, which is the best-in- class in the chemical industry. Standard & Poor's recently confirmed our single A credit rating, which is also our rating at Moody's and Fitch. Over the last 3 years, our financial debt and leverage ratio have increased. This was driven by lower earnings in a cyclical downturn and by our considerable investments, mainly in our Verbund site in South China. This mega project is on time and below budget. We have already entered the commissioning phase and will start up most of the plants at the end of 2025. Our CapEx peaked in 2024, and we will bring it down below the level of depreciation as of 2026. At EUR 5 billion, payments made for property, plant and equipment and intangible assets in 2025 are expected to be EUR 200 million lower than forecasted in February. Furthermore, we will use part of the proceeds from divestitures to reduce our financial debt and to deleverage our balance sheet. We have also accelerated our cost savings programs. We now expect to generate annual cost savings of EUR 1.6 billion by year-end 2025, EUR 100 million more than originally anticipated. Overall, we are well on track to achieve the targeted EUR 2.1 billion in annual cost savings by the end of '26. And finally, we continue to have a strict focus on further reducing inventories while remaining a reliable and trusted partner for our customers also in challenging times. Now I would like to share some information about our energy and feedstock supply. To safeguard our long-term competitiveness and operational resilience in Europe, we have established a very robust and flexible setup for procuring natural gas with 2 cornerstone supply agreements. The first agreement with Equinor will start this October. Equinor will supply us with up to 23 terawatt hours of Norwegian natural gas annually for the next 10 years. This contract ensures long-term supply security, competitive terms and a lower product carbon footprint due to Norway's efficient infrastructure. It covers a substantial share of BASF's European gas needs, particularly for our major sites in Germany and Belgium. The second agreement signed with Cheniere will start in mid-2026. BASF will receive up to approximately 12 terawatt hours of liquefied natural gas per year through 2043. This agreement introduces strategic price diversification via Henry Hub indexing and gives us full control over an end-to-end LNG supply chain. It offers a critical hedge against European gas price volatility and complements our pipeline gas portfolio. These 2 agreements ensure long-term energy and feedstock security as well as high volume flexibility for demand-driven operations. Further advantages include diversification across geographies, pricing models and delivery modes and last but not least, a lower carbon footprint. Together, these 2 agreements form the backbone of our gas supply strategy, balancing reliability, cost efficiency and sustainability.
Markus Kamieth: Okay. I will now comment on the outlook for the BASF Group that we pre-released on July 11. To account for the elevated macroeconomic and geopolitical uncertainties, we are now providing ranges for our assumptions regarding GDP, global industrial production and global chemical production in 2025. Particularly relevant for us is the continued high product availability in the chemical market, which is resulting in ongoing margin pressure, especially in the upstream businesses and base chemicals. Consequently, BASF expects earnings development to be weaker than previously forecasted and had adjusted its outlook for the full year 2025. We now anticipate EBITDA before special items to reach between EUR 7.3 billion and EUR 7.7 billion. For free cash flow, we continue to expect a figure of between EUR 0.4 billion and EUR 0.8 billion due to lower expected payments for property, plant and equipment and intangible assets, among other reasons. The forecast for CO2 emissions remains unchanged. As at our press conference in February, I'd like to emphasize today what we are focusing on in 2025. First, we will continue to execute our value-enhancing portfolio measures. We will also be starting up our new Verbund site in China. And we are working on structural cost reduction and establishing a winning culture across the entire BASF team. These are the things that are within our control, and we want to get them right, especially in this challenging environment. To conclude, I have some news about the publication of our annual report and the format of our ASM. The audited BASF report 2025 will again be published at the end of February as you were accustomed to in the past. After successfully tackling the extended sustainability reporting requirements this year, the team is confident in its ability to accelerate the process. Furthermore, on the basis of the positive experience with the first virtual Annual Shareholders' Meeting, the Board of Executive Directors has decided to annually alternate the format of the ASM of BASF SE over the next 4 years. We will thus hold an in-person ASM again in 2026 and '28. The proven virtual format will be used in 2027 and '29. This decision was made to meet the various expectations of our diversified investor base. This brings me to the end and Dirk Elvermann and I are happy to answer your questions.
Stefanie Wettberg: Thank you. We start with the Q&A session in teams. [Operator Instructions] The first question comes from Mr. Freytag, FAZ.
Unidentified Analyst: Two questions. First of all, regarding tariffs, Mr. Kamieth, maybe you can comment on the tariff situation for BASF and the industry as a whole. And secondly, your portfolio strategy. If we look at the interim report, we see that in the stand-alone businesses, the traffic light is green and in the core businesses, amber and red. So excluding the stand-alone businesses, BASF finds itself in a weak situation, a very weak situation. Does it concern you? And does this mean you will revise your portfolio strategy?
Markus Kamieth: Thank you, Mr. Freitag. Well, let me answer right away. First of all, tariffs. From my point of view, there are no big news. In recent months, we have stressed time and again that the direct impact of tariffs, especially tariffs between the EU and the U.S., but the overall tariff regime, which is being changed all the time, is limited for BASF because we have a good local footprint in every region, so we don't rely on sending products or precursors through the region. So limited impact on part of tariffs. This remains with the new deal that we probably have since Sunday. On the other hand, specifically the figures of the second quarter show that there is more and more uncertainty in global economy, which means that there is a restrained situation regarding our customers buying. And this volatility, of course, will reduce global growth. We all see this in the second quarter. And this will not change in the second half of the year. Now we have to wait and see what the beginning deal between Europe and the U.S. looks like regarding our customers' industries. I guess we will see a few weeks of high uncertainty. Over the last 24 hours, we've seen that things are pending. And so I advise everybody to wait, and we think that the uncertainty will not disappear immediately. And we think the second half of the year will be governed by this restrained economic situation. This is why we adjusted our forecast. Portfolio, you are right. Right now, what we call stand-alone businesses, especially Ag Solutions and Surface Technologies, these segments are running very well. We are glad about this, and it shows that we have a strong market position. And compared to competitors, we are faring well. This is why we say these businesses have an extraordinary value, and this is why they are entitled to expect a premium in the evaluation. Of course, we have to understand that in what we call core businesses, a lot of cyclical business is included like basic chemicals. This is part of the strategy. Of course, in a cyclical business, there are some elements where you have a down cycle. This definitely is the case for base chemicals at the moment. But it doesn't change our general assumption that due to our portfolio strategy, we can tap value by using other options for the stand-alone businesses and maybe looking at different owner structures. So we are not getting nervous. It's part of the ordinary business. And the performance that we see in a difficult environment in the core businesses also is an incentive to continue to make our businesses more competitive. So we regard this as a confirmation of our portfolio strategy.
Stefanie Wettberg: Thank you very much. So I'm looking around who is next the questions. That's Ms. Weiss from Reuters.
Unidentified Analyst: I have a few questions also on Alice, but the commissioning of the new Verbund site in China next year is going to be in a difficult market environment and less margin experience. Maybe you can go into that a little more in depth and also maybe explain your statement that this is ideally the last big cost savings program at BASF. And then on tariffs, maybe a short question. Maybe you have an overview or you can tell us whether there are exceptions maybe for some chemicals with 0%. And do you know which products there will be? And will BASF benefit from that -- from these exceptions?
Markus Kamieth: Well, thank you very much, Ms. Weiss. I will try to take the 2 questions from the analyst call and put them into perspectives, and maybe Dirk can also do that later. First, Zhanjiang, we start there with a Verbund site, which all in all, or a major part of this site and the products that are being produced there are base chemicals, what we could call base chemicals. So not very raw material-intensive product, but it is a very broad portfolio. But generally and basically, it is a product portfolio which comes into a market today, which is much longer and where the supply capability is much higher in the market than we had expected when we planned the site. This is a fact. In China, you also learned that there is a lot of overcapacity just now due to an investment cycles that went upwards. So you have a site and you enter a market now, which has lower margins than was originally expected. But that also goes for commodity products, for all commodity products. We are used to go through cyclical movements, and we are now at the valley of one of these cycles for this site. But that also means that you have to concentrate more on cost competitiveness and efficiency, and that is given in Zhanjiang. So everything that we commissioned there is at the positive side of the cost curve. So we will start with a high capacity utilization, but then have to accept lower margins in the markets lower than we expected. But over the years, like in every commodity business, it will level out. Supply and demand will adapt. And then we expect in the long run, a profitability, which we also expected for the site of Zhanjiang. Then on cost lowering programs, don't misunderstand me here because what I said in the analyst call this morning, it is a philosophy which we really try to transport also into the company. And sometimes I compare it also with a picture, with an image. Every 3 years, you can try and tidy up your garage, for example. You can do that and then you have a clean garage afterwards. But you can also make an effort that you do that every day, look at the garage every day. And that's a philosophy that good companies have to do. Look at the business and competitiveness on an everyday basis, making sure that productivity compared with the competitive or compared to the competitive is at the correct level. So you can't have a restructuring -- you can't have a restructuring program every few years. And that means you haven't made it. We don't want to repeat the restructuring program every 3 years at BASF. We want to continuously improve our competitiveness. And this is why I want to get away from one restructuring program after the other. No, we want to commit ourselves to working around productivity. And I think, Dirk, we're on the right way, and it's also part of our Winning Ways strategy. The third question was tariffs, whether we already know which chemicals have exceptions. Well, Ms. Weiss, with the tariffs, it's quite astonishing really. So on a daily basis, you get new information. What we said 3 or 4 months ago or 3 months actually is still holding true today. So the direct effects on the tariffs for us are still low. That is -- well, a nonsignificant million figure, I will say. And what we really feel are the indirect effects, the uncertainty with the customers is very high. We typically have an order book visibility of 3 to 4 months. And now we are glad if we can look into it for a month's time. And that, of course, also shows the exemption. Some of the chemicals are privileged in part with lower tariffs. Sometimes they are completely exempt, but that's a moving target. I'm still waiting for the day where we can say, okay, that's it. And that's the solution for us, for example. So the solution that we saw on the weekend, the alleged solution is not the final point yet, I guess. So we are absolutely -- we see it as absolutely system critical. So the negotiators on both sides look at the chemical sector very closely and then choose which chemicals can be tariffed in order not to stop the entire apparatus. But a final -- well, view on it, we don't have. Well, maybe a short story. When on 2nd of April, the Liberation Day, the U.S. tariffs were announced, there was an annex 2. So an annex to this, well, executive order and all the exceptions were listed. And I looked at it, it was, I think, 30 pages and an 80% -- 90% of these pages were chemicals really. So the Americans look at very closely at which products cannot be produced in the United States. And so I expect that there will again be a long list of exceptions, which will be written, which we, however, don't know yet. And we just heard about it on the weekend, and we don't have any details whether the list is going to change, and we will learn about it over the next days and weeks and months.
Stefanie Wettberg: So let's continue. The next question is from Mr. Reitz of Sudweste.
Unidentified Analyst: You say that the cost lowering programs are proceeding well. A major part is going to be saved in Europe and a site in Ludwigshafen. So what about the Ludwigshafen site? What's the situation there? And can you see or foresee that further plants are going to be closed because you didn't exclude them?
Markus Kamieth: Well, let you -- let me give you a short heads up. So you are right, a big part of our cost lowering program, EUR 2.1 billion all in all, and to drive that forward take place in Europe and particularly in Ludwigshafen. And here at the Ludwigshafen site, we also made good progress. So both on the part of adjusting plans and also lowering costs when it comes to lowering expenditures, for example, in purchasing and procurement, but also structural measures, personnel measures, we have achieved a lot already. And we can only say we don't exclude further closures of plants and assets and teams look at those assets, which in the framework of our strategy were identified as having risks on a long-term basis. But you don't make these decisions to close an asset spontaneously. You need time because it's processes that will last a number of years. And we announce things when we announce things, when we actually have decided upon closing another plant, and then we will communicate it. But I will ask you to understand that we don't want to speculate, and we want to have internal useful discussions here first because then it's irreversible decisions to make and we want to do them cautiously.
Stefanie Wettberg: The next speaker is [ Frudsen ] of Handelban.
Unidentified Analyst: I have a follow-up question regarding China, regarding the challenging market environment. Do you stick to your concrete target for the new Verbund site in China? I think you were talking sales, EUR 4 billion to EUR 5 billion, EBITDA, EUR 1 billion to EUR 1.2 billion. So is this still true? Do you stick to this?
Dirk Elvermann: Yes, Mr. [ Frudsen ], we stick to this. Now let's take a look at this. Of course, we are glad and proud of the fact that the investment is within time and below -- significantly below budget, and this will be true when we look towards the end of the year, everything looks well, and we will be ready for production. We are also very confident that from the very beginning, we will have a good capacity utilization. In addition to the commissioning, we are doing the premarketing as we speak, and we are confident that we will have a high capacity utilization, and we will be able to bring the product to market. A lot of it immediately to the Guangdong province around our site. Guangdong province has a GDP of South Korea more or less, so strong economically speaking, and then more product to the rest of China. That's very good. And then the margin level, and Markus Kamieth already mentioned that when we start the plant, this will be below our expectations because we are finding ourselves in a down cycle, and we have to grow into this, so to say. We are confident because we have an excellent fixed cost level there that is from the very beginning, we will be competitive. We stick to our targets, EUR 1 billion to EUR 1.2 billion EBITDA by 2030. And the decisive question is how long will this last. So how steep will the curve be? And well, you shouldn't expect too much in the year 1.
Stefanie Wettberg: And we welcome Andrew Noel from Chemical ESG.
Andrew Noel: The first is on Ag Solutions. 2026 could be a busy year for IPO and listings in that sector. There could be sort of 3 to 4 businesses coming to market. I wanted to ask you about your strategy. Would it be better to get out in front of the pack or perhaps wait and see and let some others set a valuation floor. Interested to see where you sit on that one. And the second one is on your R&D. Do you feel like after the sale of coatings and Surface Technologies, both of those, you're well known for your R&D and your technology. But post those sales, do you think you might need to sort of downsize your R&D operation because you're sort of -- you're less focused on these sort of specialist sectors?
Markus Kamieth: Well, Andrew, thanks for your question. I'll take the second question and then Dirk, you might comment on non-ag, Andrew knows more IPO candidates than I do. Just on the R&D intensity. Andrew, one thing is very important to us. Of course, Coatings and also our Environmental Catalyst and Metal Solutions business, for example, are very well positioned in their respective markets and their market positions are also based on deep technology know-how, excellence in R&D and always, let's say, creating competitive advantage through constantly launching new innovations. But that's also true for the majority of our core businesses. And if you look at both our R&D spend as well as our R&D success, so measured by launching new products into the market, our core businesses actually overproportionately contribute. Only if you look at our core businesses, the amount of products that we sell in 2024 that are not older than 5 years is more than EUR 6 billion. and that overproportionately contributes to that factor. So your easy picture to say these are the Coatings and ECMS just because they are stand-alone businesses are somewhat more technology-intensive or R&D intensive. It's just factually not true. We have a huge amount of specialty businesses that even have significantly higher R&D intensities than those 2 businesses. It's slightly different with Ag. Of course, in Ag, this is an innovation- driven business and that has by far the highest R&D intensity. And in ag alone, we spent roughly EUR 1 billion or close to EUR 1 billion, I think, overall in R&D per year. So this easy picture to say coatings and maybe ECMS are somewhat more R&D intensive than the core is just not true. And then maybe to Ag, the IPO.
Dirk Elvermann: Andrew, on the Ag IPO, we have, first statement, a high confidence in the value proposition of our Ag business. We will bring it to the market when it is IPO-ready and when there is the right time. IPO-ready will be -- the business will be in 2027. Until then, we do a lot of things that will finally be very value accretive for the business. We are setting up the right ERP system. We are configuring the legal entities in a way that this is highly operative, strategic and limited value leakage also. We are staffing the teams in the right way. We are looking into the business and the operating model. All of this takes a little bit of time. And then as of '27, we will be ready. I think personally, this will be a business that has a unique selling proposition. So I'm not so much concerned about what others might do in the meantime or later on because this is really a unique business that also deserves really a premium on where it is currently trading. Personally, I'm not aware of 3 or 4 IPOs coming already in '26. So maybe we get a surprise here. But I think for the value that we can capture with an IPO, this is of limited importance also. So we are quite confident with the right proposition that we can also capture the value.
Stefanie Wettberg: Okay. The next question comes from Ms. [ Doster Zhudoichi ]
Unidentified Analyst: I also have a question on an analyst conference question. Mr. Kamieth, you were talking repeatedly about a stagnant, a flat demand. And have I understood you correctly that basically real growth is only possible in China and the rest of the world is somewhere down there. And Mr. Elvermann, maybe you can say you said you are significantly below budget in South China. Maybe you can give us some figures there?
Markus Kamieth: Well, Ms. [ Doster ], maybe very briefly on the chemical industry and how I described it. This morning, I tried to put it into perspective because looking at the global figures in the chemical industry global growth, 2.5% to 3% was forecasted for this year is the best that we can read from the situation. And that only takes place or almost only in China. This is because China shows 50% of the worldwide chemical market. And if China grows as it grows, that leads to high growth figures worldwide or good figures, 2.5% to 3%. But if you separate it in China and rest of the world, you can see that just now our forecast for 2025 is that a slightly shrinking Chinese market, 0.2% or 0.3% is the shrinking here. But it's a difficult figure because there are so many subcategories, so we shouldn't overinterpret it. But it shows the different dynamics, different momentum that we find in the market, no or very low growth in the rest of the world and growth in China. The problem is that there is volume growth in China. But as I said, the margins in China are very low because there is a high product availability and in part also overcapacity. So the incremental volume that you can win there in terms of growth doesn't lead to incremental profit so much. So that's difficult. And for the rest of the world, particularly in Europe, we see a contradicting or a contracting chemical market. We will have a negative growth in Europe because of the weakness of our customer industry -- our industries here in Europe. And that shows how important it is to be successful in China because this is where growth will take place also in difficult global times.
Dirk Elvermann: Ms. [ Dostadt ], maybe briefly on the question, budget and planning, cost planning for Zhanjiang. I can't give you any exact figures now. I think it is important to understand that significantly below budget is not that EUR 50 million less, that it's more. But we'll see at the end. And then in the end, we will give you a figure of what it costs. But in perspective, it goes in the right direction. And for a project of this size, it is absolutely remarkable that we stay so much below the budget that we originally planned.
Markus Kamieth: Yes, let me underline it, remarkable. It is -- the building phase 3 years, we have had 3 years of building, even a little longer. And you can just imagine that what during the 3 and 3.5 years happened in the world, how much inflation we saw, how many difficulties when it comes to supply chains. And then after 3 years, to be able to say, okay, we are on track and we are below the budget that we planned is a phenomenal performance. Can't be over-evaluated and the figures that are below the planning is so significant that we will not stop talking about it.
Stefanie Wettberg: Okay. The next question comes from Ms. Lisman from Reinfeld.
Unidentified Analyst: I have a question on coatings or 2 questions rather. So you said you have different offers, collected offers for the business, and I would be interested if these offers correspond to your expectations. And secondly, which strategic options for coatings are most interesting?
Markus Kamieth: Mr. Lizman, this is a very competitive competition, I would say. So there are both private equity bidders, but also strategic ones, and we are still talking about different constellations here and the interest is very high. I cannot give you any figures here either. But just to see that there is high interest that many make an effort to get a foot into the door. You can see here that we are moving in the right direction. And well, we want to have all the strategic options open. We want to choose the one which generates most value and which creates most value. And that's what we're going to take eventually.
Stefanie Wettberg: And it seems as if we have already questioned all the questions. I will wait another 30 seconds. So maybe somebody wants to decide to ask another question, then of course, we will pick your question too. Well, it says no questions on our screen. So if your name is no questions, then please speak now. Okay. But it seems as if we answered all the questions. So thank you very much for your interest, and thank you very much for your time. If you have any questions afterwards, there is the team of the Media Relations team available for you. And the next event with the call for the third quarter will take place on the 29th of October, and we will be pleased to have you again. Thank you very much, and have a good and safe day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]